Operator: Good afternoon and welcome to the MDC Partners Inc. Financial Results for the Three and Nine Months Ended September 30, 2013 conference call. All participants will be in listen-only mode. (Operator Instructions). After today's presentation there will be an opportunity to ask questions. (Operator Instructions). Please note this event is being recorded. I would now like to turn the conference over to Ms. Christine LaPlaca, Vice President, Financial Reporting and Corporate Controller. Please go ahead.
Christine LaPlaca: Thank you. Good afternoon and thank you for joining MDC Partners 2013 third quarter conference call. Joining me on the call today are Miles Nadal, Chairman and Chief Executive Officer; David Doft, Chief Financial Officer; and Mike Sabatino, Chief Accounting Officer. During the call, we will refer to forward-looking statements and non-GAAP financial data. Forward-looking statements about the company are subject to uncertainties referenced in the cautionary statements, included in our earnings release and slide presentation and further details on the company's Form 10-K for its fiscal year ended December 31, 2012 and subsequent SEC filings. We have posted an investor presentation to our website and we will refer to this presentation during our prepared remarks. We also referred you to this afternoon's press release and slide presentation for definitions, explanations, and reconciliations of non-GAAP financial data. I would now like to turn the call over to Miles Nadal.
Miles Nadal: Thank you very much, Christine. Good afternoon ladies and gentlemen and thank you for joining us on our call. As you can see our business is performance exceedingly well and firing on all cylinders. We have not made an acquisition at MDC for 19 months since March 28, 2012, so all that you see is from our existing businesses and their performance is all organic. In the quarter our revenue increase 9% over last year to $289 million. Our organic growth itself was 9.3%, a record for the industry. Our EBITDA increased 15% to $39.4 million, representing an 80 basis point increase in EBITDA margin on a year-over-year basis to 13.7%. Year-to-date, our EBITDA increased to $115 million from $76.4 million, an increase is almost 51%. And in fact our margins increase as well. And our margins increased during the quarter, sorry, on a year-over-year basis to 13.6% from 9.9% an increase of 370 basis points or 37.4%. Our free cash flow in the quarter increased 33% to $23.9 million from $17.9 million in Q3 of last year. So our enthusiasm for our business is a reflection of the fact that this is all performing from organic and the investments that we have made over the last two years. Our net new business wins were $34 million during the quarter and our pipeline remains very strong across the entire spectrum of MDC. Our year-to-date net new business wins are $107 million this exceeds last year’s year-to-date wins by 4% and last year was the strongest new business year in our company's history. It's important to reflect on the fact that in 2012, our Q3 was exceedingly strong. So the exceptional performance quarter-over-quarter, sorry, quarter-to-quarter on the year is a reflection that we are comparing to very exceptional results last year. While, it's still early on in our international expansion strategy, it is paying off handsomely. In addition to the exceptional work that we are seeing out of Doner, Allison Partners, Anomaly, Kwittken, CPB which will all have successfully established footholds overseas, serving to and savings big win of the number one global vodka brand Smirnoff has further proved that we succeed internationally and to take increased market-share globally as we have in North America. KBS is well with its global presence with BMW is another reflection of that point of view. Suffices to say our business is performing exceptionally well. Once again our organic growth, EBITDA and cash flow significantly exceeded our own internal expectations and that means that yet again we are raising our 2013 guidance. David Doft, our CFO will go over the details with you in a moment. We will also provide you with our 2014 outlook next quarter when we'll report our results. Needless to say we think the momentum continues. That said, what's most exciting is that there is still tremendous runway for growth in the quarters and years ahead. We believe we are just hitting our stride. Remember we only have 3% market share in North America. We have a very small share of wallet from our existing clients. And we're in the very early stages of building upon our platform in North America on an international basis overseas and we're just beginning to take market share in some very important and rapidly growing key disciplines. That significant upside and what is already market leading organic revenue growth is why we are confident that we will deliver EBITDA margins of at least 15% to17% within the next three years and probably beyond that. Annually, as we've articulated numerously over the last five years, it is our strategic model to grow our top-line 5% to 7% organically and 10% growth including acquisition which will be modest and double-digit compounded EBITDA growth and even better significant free cash flow generation with growth in excess of 20%. We believe that this is a model and a formula that we’ll continue to create significant shareholder value appreciation. Because of our superb cash flow generation and our judicious working capital management, we believe that it is in the best interest to continue our philosophy of rewarding shareholders to return a small portion of our incremental excess capital in the form of a dividend. Our current dividends are representing between 20% and 25% of our excess cash flow and so we think that we are prudent and fiscally conservative. As a result we are increasing our dividend by 41% in the quarter to $0.24 from the $0.17 per share paid out last quarter. This represents, as I said, about 25% of our free cash flow and it’s in line with our historical target. And this brings our current yield to 3.3%. Finally, because our stock is performing so well in a response to investor interest, we would like to be able to offer our shareholders a more liquid, freely tradable and higher volume trading share of MDCA. As a result, we are moving forward with the three-for-two stock split with addition being shared, our shares being distributed to shareholders of record on November 22nd. We anticipate the trading to begin at the split adjusted price on November 20th on the Toronto Stock Exchange and on November 29th on NASDAQ. The lack of trading volume or reduced relative to ideal trading volume, although our volume is higher than it has been historically, it’s the only issue that perspective shareholders have raised as our hurdle to get over when considering the long-term investment in the shares of MDCA. We hope as management that this step will either concern and be the last remaining issue to be removed to gain an even greater shareholder base which we are privileged to have today. We look forward to seeing all of you at our Investor Day on November 21st here in New York City. We will be sending out additional details, but needless to say, we’re extremely excited to showcase our exceptional talent and transformative work for our clients and more importantly our incredible management team that is seeing the power of the disruptive approach winning in the marketplace and why we believe that we will able to continue to gain material market share for many years to come. When you do get this formal invitation, if you have any questions don’t hesitate to contact all of us we’d be pleased to assist you. At this point in time, we would like to now turn the call over to David Doft. David?
David Doft: Thank you, Miles and good afternoon. As Miles noted, we are again increasing our outlook for the year. While we do not typically update expectations on a quarterly basis and really want investors to look at our business over the long-term, we believe that it’s prudent to provide updated target given the superior performance we have delivered. While our revenue guidance is maintained at $1.055 billion to $1.08 billion implying an increase of 8.4% to 10.8% from last year, we are increasing our EBITDA guidance for the year to $158 million to $160 million versus our prior guidance of $152 million to $157 million implying year-over-year growth of 31.5% to 33.2%. This also implies EBITDA margins of 13.5% to 13.7% versus our prior expectations of 13.1% to 13.3% or 220 to 240 basis points higher than the 11.3% reported in 2012 as we continue to manage our cost structure and benefit from higher conversion of incremental revenue to EBITDA. This bolsters our confidence even more regarding our ability to achieve our target margins of 15% to 17% in the next three years. Free cash flow guidance is also increased to $85 million to $90 million versus $80 million to $85 million previously and representing a 67.1% to 77.0% increase over 2012 free cash flow of $50.9 million. Our higher free cash flow relative to 2012 reflects the low capital intensity of our business, the lower interest cost from our March 2013 refinancing and the continued benefit of our tax planning strategy. We continue to expect high conversion of incremental EBITDA growth to free cash flow in the coming years. One additional item, you may noted that our stock-based compensation expense is materially higher than typical. This has to do with the upcoming expiration of Stock Appreciation Rights or SARs. Since the grand pay in 2009, we had anticipated funding the SARs with stock. At grand time, MDC’s shares traded at $3.72, so they have increased over $25 per share or 685%. The related stock-based compensation charge in the third quarter of $22.2 million is the cost to redeem the SARs above the remaining shares available to issue under our stock plan. Because we are tracking to generate $75 million more cash than planned and in our effort to drive shareholder value, today our Board approved the plan to redeem the SARs for cash, thereby reducing our fully diluted shares outstanding by $2.4 million shares or 7% of the equity base of the company. We expect the further charge in the fourth quarter of this year, the amount of which will depend on the share price of MDC at the time of exercise. At the September 30 price, the fourth quarter charge would equate to approximately $42 million. The total anticipated stock-based compensation charge of $64 million is more than offset by this $70 million reduction in the value of the 2.4 million shares of equity being retired. The fourth quarter will also have a one-time incentive charge as MDC Partners share price averaged CAD 30 for 20 days, thus triggering a contractual payment that date from 2001 of CAD 10 million or US$9.6 million that is outside of our revised guidance. This is a very exciting move as we are now able to reduce our share count without impacting the flow or the trading volume of our shares. This is a highly accretive transaction for our shareholders and it's in line with our goal to maximize value per share. From a balance sheet and leverage standpoint, we expect to finish the year around 2.8 times levered on a net debt-to-EBITDA basis, down from 3.8 times levered when we completed our refinancing in March of this year. We expect to be able to accomplish this, despite paying out roughly $140 million combined for deferred acquisition consideration in dividends over the course of the year. Even with the increased dividend and the pending settlement of the Stock Appreciation Rights in cash, we remain committed to bringing our net debt-to-EBITDA leverage ratio down below 2.5 times. Before we get to your questions, I want to make a couple of personnel announcements. I'm pleased to welcome Dennis McGuire as our new Head of Treasury. Dennis has over 20 years of treasury experience and joins us following a 10 year stint at the General Electric Company where he was most recently the Assistant Treasurer at GE Capital. Dennis has experienced both domestically and overseas will be invaluable as we work to build a world class treasury and cash management function for our growing an increasingly global business. I am also pleased to announce that Matt Chesler has agreed to join MDC Partners as our Vice President of Investor Relations. I am sure many of you know Matt from his 10 years covering media and advertising space including MDC, while at Deutsche Bank. Matt has a deep knowledge and understanding of our industry and of MDC’s business. We're thrilled that he will enhance our team’s level of sophistication as the company’s market cap and business continues to grow. With that, Miles and I would like to take your questions.
Operator: We will now begin the question-and-answer session. (Operator Instruction). Our first question will come from John Janedis of UBS. Please go ahead.
John Janedis: Thank you and great to see the [Chesler] guys.
Miles Nadal: Thank you.
John Janedis: Miles, last quarter you talked about your expectation that growth in the PMS segment would start to reaccelerate given some business wins. Was there any movement in business into the fourth quarter that you’re reporting out?
Miles Nadal: Yeah. A lot of it is timing that we couldn’t recognize some of the project, as you know, some of the project nature performance marketing and services and such that we can’t just certainly recognize it. So I think you will see some of that growth come through in the fourth quarter. In addition, there were some delays in projects that we didn’t expect and so '14 is shaping up to be a much stronger year for the overall business. But yes, you will see the fourth quarter be materially improved in the Performance Marketing Services segment and obviously the Strategic Marketing Services segment is really shooting later.
John Janedis: One of your peers recently talked about the holiday shopping season and the potential for fewer shopping days impacting organic growth? With the exposure you have to retail, have you seen an alternative?
Miles Nadal: So it’s an interesting question, we have Hamilton South and Lynn Tesoro from HL Group here last night addressing the Board. I think two things; I think retailers are cautions about the retail season. Having said that, it’s not affecting our business because we have won so much net new business wins, including retail and people like JC Penney. So our fourth quarter commitments are already in place and we’re already acting upon it. So we continue to see record opportunity for ourselves, but that because we’re capturing more share of wallet and share of market rather than the extraordinary strength of our clients in the retail space. Retail is -- they are conservative and cautious and they are not very bullish or ambitious about significant growth year-over-year over the holiday season.
John Janedis: Thank you, Miles.
Operator: Our next question will come from James Morris of Piper Jaffray. Please go ahead.
James Morris: Just two quick questions here. First, (inaudible) excellent performance coming out of the tech space and I am just hoping you can shed a little light, really like driving that type of spend, just the overall tech spend market and advertising is growing, is it more successful from your tech wins? And then just a quick follow-up or a housekeeping item on the expense side, it looks like office in general has up pretty big in the quarter and D&A was down pretty substantially. So I was just trying to get a sense, is it one time or how we should be modeling that going forward?
Miles Nadal: Sure. So the tech space has been a very strong space for us for some time. We have benefited from being tuned to an industry that has accelerated innovation cycles, meaning that they have to release new products constantly to stay competitive. And as you know, we have several clients in the space Samsung, Microsoft, Google, etcetera that we’ve been very successful with and overtime we’ve been growing with. And so that continues to be an area of strength for our business. From the expense side, the primary component of that is the $22 million stock-based compensation charge I referred to in the prepared remarks that have to do with the redemption of the charge. Outside of that, there shouldn’t be anything out of whack with the cost structure this quarter.
James Morris: Okay, understood. Thanks very much.
David Doft: I’d just like to add one thing, I think the reason why we have captured so much more net new business in the tech space is because historically the tech companies have been more traditional advertisers. With over two-thirds of our business now coming from digital and social media and analytics, they have been the biggest mover of dollars away from traditional medial to the emerging areas of analytics, social media and digital and that’s why we have captured that. So that is probably -- partially attributable to the success we have enjoyed.
James Morris: Okay, that’s helpful.
Operator: Our next question will come from Peter Stabler of Wells Fargo Securities. Please go ahead.
Peter Stabler: Miles, I wonder if you could comment a little bit on the media business and looks like across the peer group, media is kind of the consistent threat, it’s getting called out, it’s out performing. So I wonder if you could update us there. And then secondly, just give us a little color on your international build-out, what kind of traction you are seeing in there, basically how investor should think about that? Thanks very much.
Miles Nadal: Thank you very much. So our media business is up almost 20% year-over-year. Margins are well north of 20%. We are exceptionally happy with this performance, although it is at infancy and still went to [tennis], one or two out of 10 relative to its potential. Our growth in the online auction business is similar to that company that went public. I mean we have an extraordinary business that is growing about 50% a year throwing up probably north of 50% margin and that business has been growing very rapidly. So our overall media business has been exceptional and we will continue to grow at double digits. We are looking for ways by which to capture more and more dollars of our existing media activity that’s where we are going aside. And we’ve been augmenting our management team with that. We are proving industry competitor, competitive leaders who I think it helped capture Maxxcom's opportunity as we see. So it's doing better than we anticipated. It will continue to grow. We will invest further and looking to ways of expanding the business more geographically as well as the scope of our operations. Our CRM business as well as our direct response business under [Dante Mallay] has been really wonderful. And so we are very pleased.
Peter Stabler: Second part of question?
Miles Nadal: The international, what we are doing now is harvesting the fruits of our labor. We have not opened new offices. We are seeing real growth from our existing offices, probably north of 20% and now they are profitable and contributing and we see that we now have been able to harvest the fruits of our labor. In Q3 alone, we're up 37% in our international businesses. Now albeit from a modest space, it is very encouraging and we're now starting to see significant profitability and margin opportunity expansion over the next number of quarters.
Peter Stabler: One quick follow-up if I could, do you have plans at this point to expand geography, invest in additional offices or is it really just about ramping the investments you make?
Miles Nadal: It is not currently contemplated opening any offices, it is currently contemplated that we harvest the fruits of our investment and our labor. We think we have operating good food, if I wish to service international clients. It's not without the real most possibly that there might be new office, but there is nothing on the drawing board at this point in time. Keep in mind we're now in London, we're in Sweden, we're in Amsterdam, we're in Shanghai and Beijing. And so where we have a good enough geographic footprint to service the growing international needs of our current clients.
Peter Stabler: Thank you, Miles.
Operator: Our next question will come from Lee Cooperman of Omega Advisors. Please go ahead.
Lee Cooperman: Thank you. I was just curious, what was the effective repurchase price the Board approved when they redeemed the SARS and how comfortable they were given the terrific appreciation which as a large shareholder I am very appreciated for?
David Doft: The redemption price will depend on where the SARS are exercised, so the SARS expire in February of 2014. So just a few months from now and some point between now and then, they will have to be exercised, at which point the final price will be determined.
Miles Nadal: Look there is a five day average.
David Doft: Right. The five day average from the time of exercise. The stock price is $3.72 as I said in the prepared remarks. So if you look at today’s stock price, you are looking at about $25.5 value per stock depreciation rate. And is that $2.4 million that are being redeemed. So as of today, it’s about $17 million impact, but it will depend on where the stock is going to get its exercise.
Miles Nadal: On the other hand, you’d have about $75 million reduction of equity value contemporaneous?
Lee Cooperman: There is no way, going around, you are basically agreeing to buyback your stock, it’s somewhere in 30 to 35 year, wherever it goes to after this announcement, congratulations on very good earnings.
Miles Nadal: Thank you.
Lee Cooperman: They feel comfortable, they have been making a good purchase for the company?
Miles Nadal: Yeah. An excellent purchase, especially considering we have, we’ll be sitting with almost $100 million of cash and zero drawing on our line of credit and even further free cash flow going forward. So we think it is a very good use. Our fully diluted share count will go from 36.1 million to 33.7 million shares outstanding, about 70% reduction.
Lee Cooperman: Okay.
Miles Nadal: So that was a rationale behind it. Yeah, and not only is the Board comfortable, but management is very comfortable that at this point in time using some of that excess free cash flow on a onetime basis to buyback the stock without impact liquidity and trading et cetera is a good idea.
Lee Cooperman: Got you, okay. Good luck. Thank you very much.
Miles Nadal: Thank you.
David Doft: Thank you.
Operator: Our next question will come from Dan Salmon of BMO Capital Markets. Please go ahead.
Dan Salmon: Hi, good afternoon guys. David, one question for you, just on the change in the guidance here this quarter. As you mentioned you are maintaining the revenue guidance, but raising the EBITDA, is there something short-term that’s helping you or is this just a boarder margin story coming on better than expected? And then just as a follow on to that and sort of a follow on from one of the prior questions was, it seems like the media business and the international offices coming online above expectation faster than expected, however you want to call it is a big driver here. Is there one that you would call out more than the other or about the same? Just interested in your thoughts on that.
David Doft: Sure. So there is nothing out of the ordinary in the margins. I think we’ve talked about for several quarters our focus on optimizing the conversion of incremental revenue to the bottom line and we are seeing very good success at doing that, it is the reality. And when we laid out our plan to get to 15% to 17% margins overtime, we are very serious about that, it was a very realistic scenario in our mind. And as you can see, we’ve made a lot of progress in very short time in terms of getting there. We’re focused on it every single day continue to make progress every single day. And so it’s just a lot of blocking and tackling on the part of our management team both here at MDC as well as at our partner agencies.
Miles Nadal: Keep in mind, shareholder value, we believe is created being bold early in right, and bold and early doesn’t make up for being wrong. If you recall we had a very bold strategy starting in 2009 of investing in the most digitally centric agencies that understood how consumers consume influence in the digital economy. We’ve had the privilege of being associated with some incredible thought leadership firms. 72andSunny was agency the year last year, the business is up probably five or six fold from where we got involved with them less than three years ago. Anomaly has been extraordinary. Even KBS had double digit growth every year since that period of time, Allison Partners, Doner, RJ Palmer, TargetCast. We have had a litany of extraordinary success stories that are driving that. And on international front I probably would say that 72andSunny and Anomaly’s success internationally with not far behind CPB and KBS have also been exceptional, have been the key drivers of that international business, and leveraging the infrastructure. I mean we’ve talk about that because we are not investing in new offices and because we’ve done all this organically, our return invested capital and free cash flow yield has been exceptional and continuous to be to do so. So we think that we have, we have also stepped up dramatically. We use the opportunity of the very challenging environment that most of our competitors have felt to look to steal real super athletics and that better exceptional performers and that’s really helped us dramatically. And we will continue to do so especially in light of the uncertainty caused by the consolidations that have been happening. We have seen material opportunities to attract people and clients and that will only accelerate going forward.
Dan Salmon: And then just maybe as you look on the last few years as all these things have kicked-in and just that and maybe looking forward for the next few years out of the media business the international offices and everything else out of three buckets how do you think of the proportion and what is driving this?
Miles Nadal: Look, the most important thing is we made a very important strategic bet. It's quite interesting that when I was at Google Zeitgeist two years ago Eike Batista was the star and he was going to be worth a $100 billion. You read the headlines today, but it hasn’t been so truthful. So Brazil was not the great way hope that everybody thought it would be, nor has China or India for that matter. We made a bet on America. And that bet was really a pleasurized bet from Warren Buffet. When he said in 2008, I'm going to make a 10 year bet on America, we said we're going to make a 10 year bet on America. And that's been the best investment strategy decision we made. We are still -- don’t forget America is still half the global marketing budgets, we think that there is huge opportunity. So our most important thing is our success in our own domestic marketplace of North America, principally United States. I would say to you that probably 60% of the importance of our success going forward. I'd say media is probably 25% of our success going forward and I would put analytics and consumer insight tied to that as well and about 15% is going to be international, not that internationals are important, but the dollars are just so much more modest than our ability to track major multinational business right here in North America.
Dan Salmon: That's great. Thank you Miles.
Miles Nadal: Thank you.
Operator: The next question will come from David Bank of RBC Capital Markets. Please go ahead
David Bank: Hey thanks guys. For both David and Miles, wondering them if I could get your perspective on the separate friendly consolidation in this space, perspective on whether or not the market use sort of client conflict that’s something real if it’s within a holding company but not within an agency? And then what how the opportunities looked for you since the announcement of the Publicis and Omnicom transaction? Have you actually started to see any real activity in the marketplace that you could take advantage of? And generally and I am sorry for such a long question, but Miles again your perspective on the trending consolidation and what do you think it means for MDC?
Miles Nadal: So look those are exceedingly good questions, if I knew some of those answers I probably be called icon in not running a business, I’d be in the investment business. So I'd say the following. I don’t really know what the Street understands about the implications of consolidation and what it means and our valuations, a true reflection based upon the replacement value of companies and assets. My bet is intuitively they don’t fully understand the implications, because I think the merger really took a lot of people by surprise including us, okay? But it’s not really something we’ve focused a lot of time on. It’s challenging enough to focus on our partners and our clients and their needs and ultimately that’s all that really matters. For us it’s about performance quarter-to-quarter year-over-year. In terms of if we are seeing a tremendous amount of net new business and coincidently it is coming from the big multinational agencies. I am not sure it’s the merger that’s causing it rather than the fact that clients are rather than the fact that clients are under siege to drive growth. And if you can drive higher return on marketing investment and demonstrates that then clients will go to the talent polls that are able to drive a higher sustainable profitable growth rate on their marketing dollars that’s where we’ve been successful. I think of that consolidation just puts more and more pressure on firms that are going through that consolidation to focus their management teams on the work and its impact versus the synergies that are important to drive and rationalize the consolidated our pricing of the merged businesses because we’re just focused only on one thing which is doing, most talked about, written about, most impactful marketing services work in the world and helping our clients drive a higher sustainable profitable going rate, we don’t have that distraction. The only thing I can say is so more net new business wins certainly and more activity in the last three or four months, I don’t know if it’s coincidental or some of it is coming from the existing firms that are going through that merger. I would tell you on the personnel side, we've seen a huge opportunity at attracting and in dialogue with real thought leaders at some of the firms because these mergers have never benefitted the talent pool. They’ve never created a better environment to do better work. And as a result of that I think MDC’s focus on empowerment of entrepreneurial talent, of focusing on emerging areas and being the place where great talent is certainly enabling us to attract that and also we've put a real focus on that and we think that that will continue to accelerate. As to what all this means to MDC, we’ve got our head down. We’ve got, we as a management team are focused 18 hours a day seven days a week on just driving being supportive of our partners to help make sure that they have all the resources to help their clients win in a very competitive marketplace. If we do that we think we will continue to drive superior financial performance and that will reflect itself in shareholder value appreciation. We as management still own almost 30% of the company, so we are obviously very much incentivized to do so.
David Bank: Okay. Thank you very much.
Miles Nadal: Thank you.
Operator: The next question will come from Barry Lucas of Gabelli & Company. Please go ahead.
Barry Lucas: Most of the questions have really been asked and answered quite thoroughly, but maybe you could provide a little bit more color in terms of either the new business wins and/or pitch activity where you think the verticals of opportunity really lie?
David Doft: You know, Barry, the new business wins have been very broad-based and we’ve been fortunate to be able to say this for the last few quarters. It’s been very broad-based across the agencies in our portfolio and very broad-based in terms of verticals. Of the ones that came out publicly in the quarter and it’s not many unfortunately, Miles mentioned the Smirnoff win in the [spirits] category broadly had been a very good one for us not just in the last quarter, but I’d say for the last couple of years in terms of our ability to grow our business. We added the Turkish Airlines business at Clifton another example of leveraging our global capability for global clients. The Stanley Steemer business at Donor was one in the quarter and expanded our business with several of our other larger clients, but unfortunately nothing else has come out in the public domain and we can’t speak to it. But if you look at the verticals that have been successful and we’ve talked before about the technology sector. We’ve also seen success out of the restaurant category, the luxury category as well. And fortunately our position in the marketplace resonates more and more every day. The successful case studies we have of driving transformation for our clients resonates more and more every day and thus our pipeline remains robust and we continue to win at a high rate.
Miles Nadal: I would also add the hotel business has been very successful for us. The restaurant business has been very successful for us. The packaged goods business especially food has been enormously successful so is health and beauty. And lastly the auto sector has been exceptional we’ve had exceptional growth in the auto sector. I think as David articulated though, it’s more reflection of the impact of the work we are doing than the peer growth in the category, of course some of the categories like auto have had really terrific years.
Barry Lucas: Great. Thanks very much.
Miles Nadal: Thank you.
Operator: Our next question will come from Eugene Fox of Cardinal Capital Management.
Eugene Fox: Congratulations guys, great job. I just have a few questions. David what’s left in discontinued operations?
David Doft: We had two minor discontinued operations that took place in the quarter. There shouldn’t be much going forward in terms of expense that impact the income statement. So I think it’s largely behind us at this point in time.
Eugene Fox: Okay. So in terms of the share repurchase that you guys referenced, I assume that happens next year. And do you envision going on your bank line to pay for it or how should we think about that?
Miles Nadal: So we have about $100 million of excess cash. So we will not draw on our bank line. And we are taking I think we should look at in it two ways; the price at which we're buying back stock, but more importantly the alternative of not issuing stock. As I said, we are religious in our belief that we do not want to dilute the equity of our shareholders and we guard it [jealously]. So this is both an opportunity for us to not have to issue equity in addition to buying back the equity. And right now with our excess cash being $75 million ahead of our expectation, it's our expectation to have without this or any M&A activity over $100 million of excess cash on the balance sheet plus the unused credit facility of another $225 million. So no, we do not see ourselves using the line whatsoever.
Eugene Fox: Got it. Just a couple of quick ones, the $10 million stock price, I guess bonus stated that got triggered in the quarter that was part of the, or will be part of the share compensation in Q4. How does that get paid out, is that cash as well?
Miles Nadal: Yes, Eugene it was paid to me. It was when we took back, become public there was equity that I had earned, the Board had decided that it was not appropriate so they said we will pay it to you in cash if as and when the shares of MDC trade at $30 for any 20 consecutive trading days. And it was paid in cash on Friday I think. And that is a one-time payment. That was also contractual that it would have been paid at the earlier of 30 days trading for any 20 day period or a change of control. So fortunately the share price did appreciate and that was paid to me on a one-time basis.
Eugene Fox: Got it. I don’t, to my knowledge there aren’t any, there isn’t anything else like that remaining, is that correct?
David Doft: That’s correct. There is no other compensation plan right now remaining.
Eugene Fox: Okay. Just a couple of things quickly, the deferred acquisition cost, David, how much did you all pay out in the quarter?
David Doft: We paid out $35 million in the quarter.
Miles Nadal: And here we will have paid out $130 million.
David Doft: A little [shy] of that, there is another $8 million or $9 million maybe $10 million less in the fourth quarter this year and then another $70 million roughly next year or largely in the second quarter.
Miles Nadal: And so, Eugene, we went from about $250 million of deferred acquisition consideration down to $70 million for 2014. And then we're down to nickels and dimes at that point. So when David articulated the cash flow generation, if you include the make whole provision of about $60 million, the dividends of about $30 million for the year and $130 million of deferred acquisition, we will have paid out $230 million over the course of the year and still expect that cash of $100 million on the balance sheet. So our cash flow generation has been extraordinary.
Eugene Fox: Just one quick, the $60 million that you’re referring to, does that get paid out in….
Miles Nadal: That was the make whole provision we paid out in order to refinance our bonds early, we had a....
Eugene Fox: Okay. I got it, right. Yeah. Okay, I am sorry. Last question, Miles, you didn’t do any tuck-in acquisitions in the quarter at least none that were advertised, why?
Miles Nadal: Because at this point in time, we haven’t seen anything that attracted our attention that was worthy of the deployment of your capital, for 19 months all we've seen are opportunities to know our business organically through hiring of talent and expanding our existing businesses. And to me we should not deploy $1 worth of capital unless that which we get in returns of superior value. We think we will find some things that are modest in size and talking about their nature that are strategic going forward. But up until now, for the last 19 months, we haven’t found anything and it’s been [pavlovian] in its gratification, we don’t do that, we harvest our existing assets, we grow margins, we increase free cash flow, we increase return on invested capital, we pay down debt and the stock goes up. So far we like what we are doing. So the reason forward that we just haven’t seen anything that's attracted our attention. And we should not do anything unless we see something that's exceptional, because our existing businesses are.
Eugene Fox: Congratulations guys, great job.
Miles Nadal: Thank you.
Operator: Our next question will come from Rich Tullo of Albert Fried & Company. Please go ahead.
Rich Tullo: Hey guys. First I’d like to congratulate you on two very solid hires, I’m sure that Matt and Dennis are going to make terrific contributions to MDC. And I think that makes a statement about where the company is that they can attract, you can attract talent like that and you’ve been doing it, but I think this I guess touches our industry a little bit and so I think that makes a lot of sense those two --.
Miles Nadal: Thank you.
Rich Tullo: Okay. So my view is that MDC has been the [rock of fuels] create of innovating how advertising works in cloud media since even before they called it the cloud media in social and all that kind of change. Where do you think there is a potential for us to see some multiple expansion based on what you’re doing on the creative side? And then also as far as I’m concerned did Maxxcom and Varick are probably the two components of MDC that really are pointing towards targeted and native advertising, am I right on that or is there more story. Can you please provide a little color on what you are doing?
Miles Nadal: Thank you for the complement, we appreciate it. Yes, there is no question and our ability to put together integrated communications like programs and transformational and innovative kind of activity that have driven off the chart kind of return on investment for clients that’s why we are winning new business. We believe that the marketplace hasn’t fully recognized our online auction business, our media business our analytics business that is significant. I think that is going to be a powerful incremental engine of accelerated growth for us that investors will see the benefits of the investments that we have made and you are not. I don’t believe it’s recognized fully in the shares of MDC at this point in time, because we have a much higher competition of digital and analytics and our media businesses are better positioned on an overall composition basis to capture dramatic growth than any of our peers, yet we are still trading at a discounts where our peers are in that regard, but it’s getting better, it’s a matter of run for us, not a sprint. And so we do believe that as we continue to perform and these segments continue to show, I would say performance will reflect itself in the shareholder value and share price depreciation that we see.
Rich Tullo: And one just kind of follow-up to question I was asked here earlier about the big merger, it seems to me that MDC was created at a time of industry consolidation and as a result your focus on [creator] has actually benefited from all these mergers because you don’t have to kind of sight beyond the ways of Omnicom versus McCann Worldwide versus (inaudible). Did you see potentially more? What is coming out of this, not necessary because somebody may be satisfied with Publicis or Omnicom but because the same trend that created MDC partner is now even bigger?
Miles Nadal: Yeah, I think that’s a fair comment. Look size has always been the nemesis of innovation, creativity and transformational impact, okay. So our myopic focus is how do we continue to think like a startup, how do we continue to be nimble and agile and dedicated singularly to the mission of doing the most impactful work for clients. I think what you do does not help clients grow their business and literally sell more products to more people for more money more frequently and ultimately your mission to clients is not in their best interest itself serving. MDC has benefited at times when the focus has been on scale. If you go back to the video showed in 2001, ‘13 years ago we said that the world doesn't need another big multinational network, what they need are firms who do brilliant work and created environment where the most talented people can cross for and focus on that mission. So these kinds of things we see as opportunities to enhance our talent pool which ultimately leads to better work and more accelerated growth in our existing client business and the ability to attract new clients and more share of wallet in market. So we see that your CNBC be more ambitious in that regard to take advantage of the opportunity.
Rich Tullo: Thank you very much for answering my questions.
Operator: Ladies and gentlemen, that will conclude our question-and-answer session. I would like to turn the conference back over to Mr. Nadal for his closing remarks.
Miles Nadal: So I just wanted to applaud our partners for the extraordinary work they are doing and the exceptional performance. I'd like to applaud my colleagues who are doing phenomenal job this all of the investment in talent and in support infrastructure to leverage our assets is really having that profound impact, that's why the results are the way they are. And I'd like to say thank you to our shareholders for their unwavering support and our bond holders who’ve been incredible and allowing us the privilege of accessing capital in the marketplace and we will continue to judiciously and prudently deploy that going forward. We look forward to speaking with you again soon. We thank you for your time and your interest in MDC Partners and we wish you a good evening. Thank you.
Operator: Thank you, sir. Ladies and gentlemen, the conference has now concluded. We thank you for attending today’s presentation. You may now disconnect your lines.